Operator: Good day, ladies and gentlemen and thank you for standing by. Welcome to the Peabody Energy Fourth Quarter 2020 Earnings Conference Call. At this time, all participants are in a listen-only mode. Later we will conduct the question-and-answer session and instructions will be given at that time. [Operator Instructions]. This conference is being recorded. I'd now like to turn the conference over to your host, Julie Gates. Please go ahead, ma'am.
Julie Gates: Good morning and thanks for joining Peabody's earnings call for the fourth quarter of 2020. With me today are President and CEO, Glenn Kellow; and CFO, Mark Spurbeck. Within the earnings release, you will find our statement on forward-looking information as well as a reconciliation of non-GAAP measures. We encourage you to consider the Risk Factors referenced there along with our public filings with the SEC. I'll now turn the call over to Glenn.
Glenn Kellow: Thanks, Julie, and good morning everyone. As you all know, 2020 brought immense challenges here in the U.S. and across the globe. For the coal industry, and Peabody in particular, it was no different. As the COVID pandemic came in full force in early 2020, so did lower natural gas prices, lower global energy prices, and the disruption of certain markets throughout most of the year. These unrelenting impacts contributed to significant financial headwinds for the industry and for Peabody. Operational results was really impacted by true threats of both depressed demand and pricing levels. Surety markets requested significant additional collateral in the third quarter, and we were at risk of breaching a key financial covenant based on fourth quarter results. Against this challenging backdrop, we engaged in negotiations with our surety bond providers, a group of 2022 noteholders, and our revolving credit lenders. As Mark will talk about in more detail here in a moment, we were successful in reaching an agreement that we closed on just last week. We accomplished our key objectives, extending a substantial portion of our debt maturities, signing financial covenant relief, and securing a deal with the sureties. We were not just busy on the financing front either. We had decided that we would continue to mind only when it would say an economic disease of ours. Over the course of 2020, we temporarily idled nine individual mines, spanning from one week to multiple months. We adjusted shifts to schedules, produced a number of production units in operation and further streamlined corporate and support functions. These actions unfortunately, led up to reduce our global headcount by approximately 2,000 employees. Early on, in 2020, when we announced our cost prepositioning program, we intentionally did not set a public target, as what we thought our results should speak for themselves. In that regard, I think they have. Three out of four of our operating segments reduced cost per ton compared to the prior-year despite a significant reduction in volumes. We reduced total SG&A costs by $46 million. That's not to say we don't have more to do, but it is a credit to the hard work of the Peabody team coming together in a unique and challenging circumstances to achieve those results. Despite the challenges surrounding us, these operations rightly kept safety at the forefront. In the broader context, that the U.S. coal industry had the safest year on record according to Intra, we had a consecutive view with no fatal accidents at any of our operated mines. Four U.S. thermal mines had zero reportable incidences demonstrating truly zero harm, and Australia had its lowest incidence rate since 2017. In addition, our team has always taken great pride in our land restoration legacy, and this year was no different. Globally, we reclaimed nearly one acre of land for every acre disturbed. Over the past five years, Peabody has restored more than 1.3 acres of mine land for every acre disturbed. Our progress is also evidenced in the U.S. through the final Phase 3 bond release of more than 20,000 acres across 10 mine sites in the United States. As we embark on 2021, we're seeing signs of improvement in seaborne thermal coal demand. Global seaborne thermal supply has also been significantly impacted largely due to severe weather in Indonesia and COVID-related production disruptions in China and labor issues in Colombia. Should demand continue to improve, we're well-positioned to capture value. Over the past five years, our seaborne thermal segment has delivered average cost per ton of $31 making that segment competitive stimulating pricing environment. While seaborne met markets are also showing encouraging signs of improvement, from lows seen in 2020, trade flows remain disrupted, causing short-term pricing volatility. China's limits on Australian coal imports as well as scope and scale of steel market recovery in traditional markets continue to impact the seaborne met market. Given this backdrop, we remain cautious as we consider bringing on any additional supply, including resuming production at our currently suspended mines. U.S. thermal coal markets continue to be heavily influenced by natural gas prices, renewable generation and weather. This is especially evident in what happened in 2020. For most of the year, prompt natural gas prices were below $2.50 and coal demand suffered. In December, prompt gas prices averaged $2.58, and as a result, we estimate that coal demand rose to nearly a quarter of the generation net. Currently, the 2021 forward strip gas price is above $2.50. That said there is no question that U.S. thermal coal is a challenged market, and one that is in secular decline. However, I stand by our U.S. thermal assets, we have the lowest cost assets in the most competitive basin and have demonstrated meaningful cost improvements year-over-year within our other U.S. thermal segments. Against that backdrop, I'll now give a little bit more detail around what is happening in some of our operations, and what we have accomplished over the past year. As I mentioned previously, last year we undertook numerous initiatives to reduce cash spend as we idled mines, adjusted shift schedules, and reduced the number of production units in operation. Across our U.S. thermal operations, we temporarily idled four mines for less than a month at a time to better match our production with customer demand. We have the ability to and continue to ship contracts among mines that best serves our customers' needs and maximize value. Within the seaborne thermal segment, we temporarily suspended Wambo underground in mid-2020 given tough market conditions. The team has done a great job of improving on development rates. And I'm pleased to note we will now be moving ahead with the mining in the next panel in the current district in 2022. We also idled all four of our met mines at some point in 2020. Shoal Creek and Metropolitan are both still suspended and we're cautiously evaluating market conditions as well as continuing conversations with key stakeholders to best meet their needs and enable those mines to resume production. In 2021, we're planning on further advancing the Moorvale South project. This is a relatively low CapEx project that will transition Moorvale to a greater mix of semi-hard coking coal and extend the life of the mine. We're also still progressing the North Goonyella commercial process. While taken a bit longer than we would like given COVID-related challenges and market conditions, we continue to believe North Goonyella is a valuable asset with world-class infrastructure and high-quality coking coal. I'll now turn the call over to Mark to provide some additional color on the financing process and results.
Mark Spurbeck: Thanks, Glenn, and good morning, everyone. I'd like to start today with an overview of our recent financing activities. Last week, we closed the previously announced exchange transaction. I'll hit on the major highlights now. Nearly 87% of the 2022 Senior secured notes were tendered in exchange offer. Noteholders who participated in the exchange receive a pro rata share of both the 10% senior note secured by Wilpinjong and a 8.5% senior secured notes issued by Peabody as well as additional cash consideration. This resulted in the issuance of $194 million of new senior secured Wilpinjong note and $195 million of new senior secured Peabody note, both due December 2024. The $60 million of 2022 notes that did not participate in exchange are now unsecured, and will continue to be paid a 6% coupon until March 2022. The $540 million revolving credit facility commitments were also exchanged for $206 million of senior term loans secured by Wilpinjong, a $324 million letter of credit facility, and $10 million of cash consideration. With the completion of the exchange transactions, the global surety agreement has also been locked in. For the terms of that agreement, we posted $75 million of additional collateral in December in the form of letters of credit, and will post an additional $25 million per annum through 2024, subject to an increase to the extent that company generates more than $100 million of free cash flow in any 12-month period, or as assets sales greater than $10 million. In turn, the Surety providers dropped outstanding collateral requests, and have further agreed not to request additional collateral on existing bonds, or cancel any bonds throughout the duration of the agreement. Taking a step back, that leaves us with a $60 million maturity in March 2022, $595 million of secured debt due December 2024, and $889 million of secured debt due March 2025. Within the next two weeks, we will make an offer to repurchase 22.5 million in principal amount of the new Peabody note at a price of 80% of par. We also have the $324 million letter of credit facility, and a $250 million accounts receivable securitization facility. At December 31, we had $709 million of cash and cash equivalents. This capital structure provides the foundation for future value creation and the flexibility needed to continue to pursue operational improvements across the platforms, but particularly within our met segment, and captured expected seaborne and market improvement, Glenn mentioned. With that recap of our financing activities, I'd now like to turn to segment performance for the fourth quarter, beginning with seaborne thermal results. Once again, our seaborne thermal segment delivered strong fourth quarter cost performance, with cost per ton of $27, 12% lower than the prior-year. In total, the seaborne thermal segment sold 5.2 million tons, with 3.2 million tons exported. While, margins were impacted by weaker pricing, the segment delivered 24% adjusted EBITDA margins or $45 million of adjusted EBITDA. Wilpinjong contributed sales of 3.6 million tons and adjusted EBITDA of $21 million. In addition, the mine achieved an all-time low for Australian dollar cost per unit of $4.40 for the full-year, further demonstrating the mine's first [indiscernible] cost performance among Australian thermal coal mines. Seaborne met results were negatively impacted by weak pricing and demand idling Shoal Creek, the plant longwall move at Metrop and mine sequencing at the CMJV. For the quarter, met costs totaled $107.30 per ton, and only 1.4 million tons. As a result, the segment reported $34 million of negative adjusted EBITDA. Our U.S. thermal mines performed incredibly well despite tough demand conditions and COVID-related challenges. The PRB segments shipped 22 million tons, at an average adjusted EBITDA margin of 20%. The PRB reported adjusted EBITDA contributions of $52 million on strong productivity and disciplined cost control. In fact, North [ph] and Caballo both achieved record annual unit costs in 2020. The other U.S. thermal mines generated $45 million of adjusted EBITDA. Compared to the prior-year, cost per ton was 25% lower, largely due to the Kayenta settlement resulting in elevated costs in the prior-year. Even without the Kayenta settlement impact, costs were still over $2 per ton lower year-over-year in large part due to ongoing cost management efforts. Barron and El Segundo also achieved record annual costs per unit in 2020. A quick note on U.S. thermal mine productivity, as measured in units per employee shift, 2020 was 5% higher than 2019 despite 14% lower total units. During the fourth quarter, we recorded a non-cash impairment charge of $69 million related to unassigned coal reserves in the Midwest that were not in our mine plans. Loss from equity affiliates totaled $34 million, including a $33 million reserve on tax assets at Middlemount which has been excluded from adjusted EBITDA. Now let's turn to our 2021 outlook. Starting with the U.S. thermal assets, we're planning for PRB volumes to be largely in line with 2020 shipments of 87 million tons. About 80% of those volumes are priced at an average of $10.82 per ton. Other U.S. thermal shipments are planned to decline from 2020 levels, in part due to plant retirements. Currently, we have 16 million tons priced at an average realized price of $37.50 per ton. U.S. thermal shipments will ultimately be dependent on general economic conditions, natural gas prices, weather, and other factors. Although recent conditions are favorable, we had a relatively warm start to winter and utilities have expressed adequate coal stockpiles, both of which are expected to impact first quarter 2021 shipments. From a cost perspective, we expect both PRB and other U.S. thermal costs to be largely in line with 2020 levels. Seaborne thermal volumes are expected to decline given Wambo's transition to the United Wambo joint venture. We anticipate our share of the coal could be about 2 million tons this year. However, underground volumes are anticipated to increase modestly, partially offsetting the transition to the surface joint venture. Wilpinjong volumes are expected to remain in line with 2020. We anticipate a slight increase in seaborne thermal costs, given lower volumes and higher royalties associated with an expected improvement in pricing. Despite this modest increase, our seaborne thermal segment is expected to deliver strong adjusted EBITDA margins in 2021. As mentioned earlier, both Shoal Creek and Metrop are idled. We're cautiously evaluating market conditions and will be deliberate in determining future production plans at those mines. Prior met volume projections assume that Shoal Creek resumed production in early 2021 and that Metrop was operational for the full-year. In 2020, those mines shipped a total of 2.3 million tons. On the other hand, we're planning for slightly higher CMJV shipments in 2021 and could move more if conditions are favorable given inventory levels. From a corporate perspective, we anticipate further reductions in SG&A with annual spend targeted at $90 million. Full-year capital expenditures are anticipated to be approximately $225 million, including about $135 million related to mine extension projects. With a new capital structure, cash interest expense is anticipated to be about $115 million. Taking a quick look at just the first quarter of 2021, results are expected to be down from the fourth quarter, given lower volumes across each of the segments. Our U.S. thermal customers generally take higher volumes in the fourth quarter to meet their full-year commitments. Together with a slower start to winter, we expect first quarter shipments to decline, modestly. Seaborne thermal shipments will be impacted by lower volumes from the United Wambo JV. Met shipments are expected to be lower due to the suspension of production at Shoal Creek and Metrop, which combined shipped about 600,000 tons in the fourth quarter. Indeed, 2020 has been an extremely challenging year. Those challenges were met with decisive action and while we still have our fair share of headwinds, we remain laser-focused on further reducing costs and improving cash flow to best position the company for success in all market cycles. I'd now like to turn the call over for questions. Operator?
Operator: Thank you. [Operator Instructions]. And we'll go first to David Gagliano with BMO Capital Markets.
David Gagliano: All right, great. Thanks for taking my questions. Hopefully I can get a few in because it's kind of a series of questions and I need to get cut off in the middle of that if possible. I know there's limitation, so I'll try to keep it relatively tight but I think it's important keeping together. So along those lines, I wanted to talk a little about repricing leverage which maybe pressing that a little bit and I was wondering, if you could help me quantify some of this? For example, the seaborne thermal business, we're coming up with an estimate for 2021 volumes. Let's call about 17 million tons. Can you just remind us again, how much of that is available to reprice in the seaborne export market? And also, if prices in that market stay where they're today, what would the $47 number that was reported in the fourth quarter look like on a forward-looking basis?
Mark Spurbeck: Dave, I'll start that 17 million seaborne thermal tons, obviously, Wilpinjong has that domestic contract. And there's about 7 million to 8 million tons that are delivered domestically. The remainder of that 17 million tons would be available for export.
Julie Gates: And then I would just add on there, Dave, we -- we've got a very small volume of that of that price, which is our typical practice there. And then we've got, I'd say just over about a million tons that would typically be committed to that Japanese fiscal year price. So the rest would be subject to spot or some sort of indexed pricing throughout the year.
David Gagliano: Okay. So is it reasonable based on what you just said, the $47 number that was reported, if we look at it versus the $80 now, is there any -- what's sort of a reasonable discount on average to assume versus the $80 number that that's also out there now?
Julie Gates: So it'll largely be a function of mix right, and of course, that $47 includes the domestic volumes as well. So if we think about from what we have for 2021, based on Wambo open cut, and underground, obviously as we signal with the Wambo open cut being down, compared to the prior-year, that mix of higher, higher Newcastle shipments will be a bit lower, as opposed to what it would have been in 2020. Obviously, given we haven't given kind of specific guidance, it's a little hard to get into specifics are mixed. But apples-to-apples, we will have more of a lower quality product, simply because of that Wambo product coming out by 2 million tons.
Glenn Kellow: I would also say, David, as part of our trading activity is actually that looked at what's going on in those various markets and try to adjust the mix where relevant in order to capture the best, the best margin and meet customer requirements. So the same would be looking to have some flexibility, depending on what was going on in different quality markets within that mix.
David Gagliano: Okay. And then sorry just one last clarification question on that one. You said the $47 included the domestic lines, I thought there were two numbers reported in the press release. And I thought the $47 was actually just the export number. I'm just trying to clarify that number.
Julie Gates: Oh, sorry. I may have misspoke. You're right. The $47.84 was just the export price for the quarter.
David Gagliano: Okay, thanks. And then just if you could also on the met side, I have two questions related, idled mine costs on a quarterly basis, for example, at Shoal Creek, what are those on a millions of dollars basis? And then also, if you could also give us a sense, similar setup for met that I just mentioned for thermal on our numbers, we got about let's say 5.5 million tons for 2021. How much of that, I'm assuming all of it, but is there any of that volume that's not open for repricing and can you give us a sense as to what you're seeing in the met -- seaborne met market for that product right now in terms of pricing, we're seeing a lot of different prices. That's it.
Mark Spurbeck: Dave, it's Mark. On the idled mine, Shoal Creek in particular, it's approximately $4 million a month, $12 million a quarter.
Julie Gates: And then just on your second point that was on pricing for Shoal Creek is that right?
David Gagliano: No, actually my second point was really asking if we assume 5.5 million tons of volumes in 2021, for seaborne met in total, how much of that is priced if any at this point, and what are kind of current market prices for kind of the blends that you have out there for that 5.5 million tons?
Julie Gates: So in general, and this would apply for 2021 as well. We don't price in advance a whole lot from our met platform but we will have volumes committed, but they won't be locked in the pricing until further on in the quarter. And so as we look at that, we look at what is operational, certainly for the full-year would be Coppabella and Moorvale, obviously Coppabella is that kind of premium TCI product, or Moorvale would be at a bit of a discount to that. So as we think about realizations that will ultimately depend on what those volumes are and the timing of any production plans at Shoal Creek and Metrop.
Operator: Next we'll go to Nick Jarmoszuk with Stifel.
Nick Jarmoszuk: Hi, good morning, I was hoping to talk a little bit on Shoal Creek and Metropolitan, just trying to get a better sense for what are you looking forward to restart that, is it a function of price, is it a function of getting the volumes contracted? And then could you remind us on the volumes costs with the two and then what your realizations are relative to the index?
Glenn Kellow: Yes. So with met markets in particular, as we've indicated, there's a lot of complexity that's occurring within those markets, as we look to clearly China has been extremely strong in terms of recovery. But unfortunately, in terms of what's occurring with Australian imports into China, and we've had a severe disruption in those markets, that's creating an imbalance, I guess in global flows. And for us, we're looking highly on the more traditional markets in terms of Japan, Korea, India in terms of recovery, and also some impact on what's occurring with respect to Europe. So that disruption that we're seeing across traditional flows, we believe, has led to the volatility that we're seeing in markets, and something we remain very cautious about in terms of analyzing ultimate movements. Specifically with respect to Shoal Creek, and Metrop, in addition to the market analysis, we're clearly engaging with our customers, and other stakeholders in order to determine the best plans with respect to production.
Nick Jarmoszuk: So in terms of the cost structure, is there something that's able to occur between 2020 to set it lower for 2021?
Glenn Kellow: Yes, and I think we've probably spoken about some of the steps that we had been taking across our activities and operations in general. But specifically on the met activities in those two mines in particular, there was a lot of work done around improvement in development rights that was taking place at Metropolitan. And the thing was, had actually been delivering on that and continuing to improve that that cost position and productivity across development. In Shoal Creek, 2020 was a challenging year with the disruption in markets. And really, as you've seen, we've had outstanding cost performance, particularly across our surface mines and our Wilpinjong mines here in the U.S., where we've had most challenges in adjustments to market disruption has been with respect to our longwall operations. At Shoal Creek, in addition to that disruption to our customer base, we had to deal with challenges as you may recall, and that did impact upon the overall cost position in 2020. We did indicate that we're working on an improvement plan with respect to Shoal Creek that was continuing through 2020 and we'd expect to continue to do those things into 2021.
Nick Jarmoszuk: So what’s your cost per ton, can we see in terms of a year-over-year improvement?
Julie Gates: Yes, we haven't provided any guidance on that front. I think certainly, for the full-year, our met segment in total at cost of about $109 per ton. You've heard us say before that as Glenn just mentioned that we're certainly focused on improving costs throughout the business. We've done a great job in the U.S. thermal segment in the seaborne thermal segment, still more work to do on the met side. But as far as specific mining costs, that's not something that we typically disclose.
Nick Jarmoszuk: And does that $109 million include the $12 million of idle costs?
Julie Gates: It does for Shoal Creek, that's right. What it does not include is parking idle process at mine is considered suspended. So it's down within EBITDA, just not within the segment results.
Operator: We'll go to Matthew Fields with Bank of America.
Matthew Fields: Yes, hi. I’m sorry; I just want to beat a dead horse. In the met market, you talked about the dynamic where China has been very strong, but the Australian imports were disrupted. So we've seen a very large disparity in the met price from Australia, and then what China is buying from other countries. So you would think from the outside looking in, but this will be an opportune time to have a met mine that's not in China. So just kind of help us understand what's keeping you from bringing Shoal Creek back online?
Julie Gates: Yes, Matt, certainly, it seems very logical question. But as we look at those high volume prices, and any really non-Australian coals going into China, they certainly are higher. But as we look at our Shoal Creek customer base, those are we have contractual commitments with our traditional customers in Japan and Europe that we would first need to satisfy. So even if Shoal Creek we're operating right now, it sounds as though we could ship into those out of stock basis in China. So what we're really focused on is continuing those discussions with key stakeholders at Shoal Creek, positioning the mine as best as we can for the future. We obviously -- I'll go back to what Glenn had said, from a longwall performance responding to these demand conditions. We're certainly encouraged by positive signs in the met market, so we're going to be cautious as we evaluate future production plans.
Matthew Fields: Okay. And then one more for me. What's going on with the North Goonyella commercial process, I know you started that about a year-ago, any update in terms of potential bidders, order of magnitude of proceeds, you expect kind of any updates you can give us?
Glenn Kellow: I'm not sure exactly that was a year-ago but if you'll look at the site might be different to ours. But we certainly are continuing that process. It's been impacted as we expect not only by markets, but physical restrictions with respect to the protocols with COVID that exists, both in the country and within the state around diligence activities. But we continue the -- that that commercial process. And we continue to believe in the quality of that that mine, coking coal and the world-class infrastructure that we have there. But you're right to call it, it has been delayed. But similar to I guess other transaction processes that were throughout the industry in 2020.
Glenn Kellow: Well, thank you all for joining us tonight. I'd like to especially thank our employees for the hard work and dedication, you show each and every day. We wouldn't be where we're without you. And to all of our investors, we appreciate your ongoing support and engagement. Operator that concludes our call.
Operator: Thank you. This concludes the Peabody fourth quarter 2020 earnings presentation. Thank you for participating.